Operator: Good morning, my name is Tracy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lear Corporation Second Quarter 2013 Earnings Conference Call. [Operator Instructions] Thank you. Mr. Ed Lowenfeld, Vice President, Investor Relations, you may begin your conference.
Ed Lowenfeld: Thank you, Tracy. Good morning, and thanks, everyone for joining us for our second quarter of 2013 earnings call. Our earnings press release was filed this morning with the Securities and Exchange Commission, and materials for our earnings call are posted on our website at lear.com through the Investor Relations link. Today's presenters are Matt Simoncini, President and CEO; and Jeff Vanneste, Chief Financial Officer. Also participating on the call are several other members of Lear's leadership team. Before we begin, I'd like to remind you that during the call, we will be making forward-looking statements that are subject to risks and uncertainties. Some of the factors that could impact our future results are described in the slide titled Investor Information at the beginning of the presentation materials and also in our SEC filings. In addition, we will be referring to certain non-GAAP financial measures. Additional information regarding these measures can be found in the slides labeled Non-GAAP Financial Information at the end of the presentation materials. Slide 3 shows the agenda for today's review. First, Matt Simoncini will provide a company update. Next, Jeff Vanneste will cover our second quarter financial results and 2013 outlook. Then, Matt will return with some wrap-up comments. Following the formal presentation, we will be pleased to take your questions. Now, please turn to Slide 4, and I'll hand it over to Matt.
Matthew J. Simoncini: Great. Thanks, Ed. Lear had a strong second quarter with our sales and earnings growing faster than industry production. Sales in the second quarter were $4.1 billion, up 12% from a year ago, and core operating earnings increased 13% to $224 million. In the second quarter, our Electrical segment achieved record quarterly sales and earnings as business continued to benefit from the market share gains and improved infrastructure. We also entered into an $800 million agreement to repurchase stock under an accelerated share repurchase program, bringing our year-to-date repurchases to $1 billion. As a result of our strong first half performance, we are increasing our full year guidance. Jeff will provide the details a little later in the presentation. Slide 5 provides a regional overview of our financial results in the second quarter. Lear reported strong sales increases in every major region of the world. We have made significant investments in the emerging markets and we are well positioned for continued growth. We remain solidly profitable in Europe despite industry production running significantly below installed capacity. In South America, our financial results have been negatively impacted by inefficiencies and higher costs associated with significant expansion of our business in that region. We have historically been profitable in South America in both segments and expect our results to improve as we head into next year. Slide 6 highlights the key elements of our strategy, which remain unchanged. We are following a balanced approach of investing in our business, maintaining a strong and flexible balance sheet and returning excess cash to shareholders. We have the product expertise, global reach, competitive footprint and financial flexibility to profitably grow our business. We are well positioned to take advantage of industry trends towards global platforms, increased electrical content and direct component sourcing. We plan to continue to invest in business to improve our market position and returns. We continue to pursue acquisitions that will complement our present product offering, facilitate further diversification of our sales and increase our component capabilities. We plan on maintaining a strong and flexible balance sheet while at the same time continuing to return excess cash to shareholders on a consistent basis. Now I'd like to turn it over to Jeff who will take you through our financial results and outlook for the remainder of the year.
Jeffrey H. Vanneste: Thanks, Matt. Slide 8 shows global vehicle production for the second quarter. In the second quarter, global vehicle production was 20.8 million units, up 3% from 2012. Europe production was up 2% compared to a year ago. While European production continues to be below trend, this was the first quarter without a year-over-year decline since the fourth quarter of 2011. Production in North America was up 6%, reflecting improving economic conditions in the region. Market conditions were strong in key emerging markets with industry production up 11% in China and 23% in Brazil. Slide 9 shows our financial results for the second quarter of 2013. As previously mentioned, sales were up 12% to $4.1 billion with all regions showing year-over-year increases. Pretax income before equity income, interest and other expense was $201 million, up $11 million from a year ago. Interest expense was $17 million, up $3 million, primarily reflecting the impact of the $500 million bond, which was issued in January. Equity income was $10 million, down $11 million from a year ago. In the second quarter of 2012, we recognized a gain of $15 million related to reversal of a valuation allowance at our recently divested IAC joint venture. Excluding this onetime item, equity income was up $4 million from a year ago. Slide 10 shows the impact of nonoperating items on our second quarter results. During the second quarter, we incurred $16 million of restructuring costs, primarily related to various actions in Europe. Other special items of $7 million primarily reflect labor-related litigation claims and incremental costs related to the previously reported fire at one of our European facilities. Excluding the impact of these items, we had core operating earnings of $224 million, up $27 million from 2012. The increase in earnings reflects the increase in sales and improved operating performance, partially offset by the impact of the changeover on key programs. Adjusted for restructuring and other special items, net income attributable to Lear in the second quarter was $138 million, and diluted earnings per share was $1.62. Slide 11 shows our second quarter adjusted margins for both segments, as well as for the total company. In Seating, adjusted margins were 5.8%, down 80 basis points from 1 year ago. The year-over-year margin reduction was driven primarily by the impact of program changeovers and inefficiencies and higher costs in South America, partially offset by improved production on key platforms. Our full year margin outlook for Seating remains in the mid-5% range. In Electrical, we reported record sales and earnings in the second quarter. Sales were over $1 billion for the second quarter in a row; and adjusted margins were 9.7%, up 290 basis points from 1 year ago, reflecting strong sales growth and operating efficiencies. Performance in the quarter benefited by approximately 30 basis points, reflecting the timing of commercial settlements. We expect full year margins in our Electrical segment to be in the high 8% range. Slide 12 provides a summary of free cash flow, which was $74 million in the second quarter. Slide 13 provides an update on our share repurchase program. During the second quarter, we retired 11.9 million shares of stock through the initial delivery of shares under the $800 million accelerated share repurchase program. This represented 80% of the ASR's transaction value at the then current price of $53.95 per share. The ultimate number of shares to be repurchased and the final price paid per share under the ASR transaction will be based on the daily volume weighted average price of the company's common stock during the term of the ASR agreement. The ASR transaction is expected to be completed no later than March of 2014. Since initiating the share repurchase program in early 2011, we have repurchased 27.1 million shares of our common stock, which represents a reduction of approximately 25% of our shares. After the completion of the ASR program, Lear will have $750 million remaining in the existing share repurchase authorization, which will expire 2 years after the completion of the ASR program. This reflects approximately 15% of our current market capitalization. Slide 15 highlights the key assumptions in our 2013 outlook, which reflects the latest production assumptions in our major markets. Global production of 81.3 million units is relatively unchanged from our prior guidance. Our 2013 financial outlook is based on an average euro assumption of $1.31 per euro, which is up 1% from our prior outlook. Slide 16 summarizes our 2013 financial outlook. Based on our first half performance, we are increasing full year guidance. For 2013, Lear expects net sales of approximately $15.8 billion, up from our prior guidance, reflecting higher production on key platforms and the increase in the euro. Core operating earnings are forecasted in the range of $750 million to $800 million, up $25 million from our prior guidance. Tax expense is estimated to be $200 million to $215 million, higher than our prior guidance, reflecting the higher earnings. Our effective tax rate in 2013 is expected to be approximately 30%. However, given our tax attributes, we expect the cash tax rate to be approximately 20%. Adjusted net income attributable to Lear is forecasted at $440 million to $475 million. Free cash flow for 2013 is forecasted at $300 million, up $25 million from our prior outlook, reflecting the increase in earnings. Now I'll turn it back to Matt for some closing comments.
Matthew J. Simoncini: Great. Nice job, Jeff. Thank you. Lear performed well in the second quarter with sales and earnings growing faster than the global industry production. As a result of our strong first half financial performance and our industry outlook, we are increasing our full year guidance. Assuming industry production remains stable at present forecasted levels, we would expect our guidance for core operating earnings to be in the high end of the $750 million to $800 million range. We continue to follow a balanced strategy of investing in our business, maintaining a strong and flexible financial position and returning excess cash to our shareholders. With that, we would be pleased to take your questions.
Operator: [Operator Instructions] Your first question is from Rod Lache with Deutsche Bank.
Rod Lache - Deutsche Bank AG, Research Division: Can you talk a little bit, just first of all, on Seating. The South America business, I think, you said before is around a $700 million business and it's not profitable now. Can you -- is there a plan to get that to 5% or so margins? And if so, what would the time frame be?
Matthew J. Simoncini: Yes, it's actually a little bit higher than that. We'd expect them to come in probably closer to $800 million this year in the Seating alone, Rod. There absolutely is a plan. In this business, it's a combination of, first and foremost, getting this expansion and these growing pains under our belts with improved efficiencies at the new facilities and on the new programs, getting more localized content to reduce some of the freight costs and inefficiencies associated with bringing product in and components in from outside of the region. It's also working with our customers to get a fair and balanced pricing, if you will, either a combination of price adjustments or value engineering. So it's a litany of different things. We believe that we will return to more of a breakeven-type level as we exit the year and head into profitability going into '14 with this segment. Historically, we ran this segment at target margins in both -- this region in both product segments at target margins.
Rod Lache - Deutsche Bank AG, Research Division: What would the time frame be for getting it to maybe the kind of margins you're doing elsewhere in Seating, would that be like 2015?
Matthew J. Simoncini: Probably 24 months, I would guess, Rod.
Rod Lache - Deutsche Bank AG, Research Division: Okay. And in Europe, you've mentioned before that's been 100 basis point drag on margins as that's declined. Can you recover that 100 basis points through restructuring, or do you need that business to come back?
Matthew J. Simoncini: Volume would always help, and volume on our key car lines would be great. And the good news is we have a pretty balanced portfolio by customer and product segment. I do think there's some level of restructuring. We've made it a focus through the first half of the year and looking for additional ways to take capacity out, specifically in the just-in-time facilities, which are significantly underutilized, if you will. But we've also looked at census actions pretty much everywhere. So we've done a lot. I still think there are some things we could do in that region. So a combination of probably a little bit of both. I would probably split it right down the uprights. We don't anticipate a significant volume increase from the levels that we've seen through the first half. We do expect a normal seasonality in the third quarter as Europe typically goes on a shutdown in July-August time frame. I don't think this year's a whole a different. So -- and we're not counting on huge tailwind in volume, Rod, but it would help. In the meanwhile, we're looking to get capacity out of these facilities and census reductions in place.
Rod Lache - Deutsche Bank AG, Research Division: So similar to South America, would there be a path to getting that margin up -- back up to your target in a 24-month time frame?
Matthew J. Simoncini: Yes, I would think, one, Europe is always going to run a little bit lower than the target margin in Seating to the target margins for that segment at 7%. And historically, it's always been a little bit lower because the business kind of DNA's a little bit different mainly because of lack of vertical integration there where it's more common to be the JIT assembler and we have a disproportionate amount of just-in-time assembly versus components. So typically, we've always been a little bit lower margin there. I think the time frame, I'm getting the shortfall up from when -- our historical run rate is near term, though. I do believe that we'll start -- we made a nice stride in the second quarter and I think we'll continue to see improvements exiting the year. So I think, in Europe, it's a little bit nearer time frame to close the gap on what our historical performance has been. On Electrical Distribution in Europe, we are -- we remain at target margins for the segment largely.
Rod Lache - Deutsche Bank AG, Research Division: And just last one really quick. It's an unusual year for launches. You said that you're redoing something like 2/3 of your platforms. Is the pressure from launches, did it reach its maximum in the first half or is it more -- is it greater in the back half of this year?
Matthew J. Simoncini: It's actually -- it continues through the second half, maybe even slightly higher as far as model changeover just because of some of the delays in some of the program launches, Rod. I would expect that pressure to continue into the first half of next year actually. Second half of the year is going to be a pretty heavy model changeover year, a model changeover.
Operator: Your next question comes from the line of Itay Michaeli with Citigroup.
Itay Michaeli - Citigroup Inc, Research Division: First question, just on the guidance. It does seem that if we just run an implied incremental in terms of the EBIT raise versus the revenue raise, it comes out somewhere below 10%. Can you maybe just talk a little bit about the different drivers within that? Maybe -- perhaps it ties back into some of the launch costs you're seeing in the second half of the year?
Matthew J. Simoncini: Yes, sales in the second half of the year pulled back versus the first half. That's driven largely through the summer shutdowns, if you will, and that's disproportionally in Europe. So we'll be sitting on even more excess capacity in some of our key just-in-time plants. We've got a step-up in the program changeovers, if you will. And then we have engineering for the backlog that continues to come through. So I think if the volume productions hold the way we see them right now, Itay, we can probably post a number closer to high end of the range.
Itay Michaeli - Citigroup Inc, Research Division: Got it. Perfect. That's helpful. And then on CapEx, I know a while back you talked about eventually returning to your historical CapEx-to-sales ratio. Can you maybe update us on your thinking there, perhaps, as we start to think about 2014 a little bit more?
Matthew J. Simoncini: Yes, right now, we've been running about 50 bps, Jeff, higher than historical average. Personally, I could see it drifting back down to the normal 2%, 2.5% type range heading into '14, '15. The good news is we've got a lot of backlog and I do think there are some opportunities. And we've been getting nice returns on organic investment, if you will. And we're finding, in many cases, that those investments that we've made in our footprint are helping us penetrate the market, specifically in Electrical Distribution. So I'd like to see it at 3% of sales because it's been a pretty good return. But I can see as we're exiting '14 right now with the backlog the way it stands that we would start drifting down to more normalized capital expenditures, if you will.
Itay Michaeli - Citigroup Inc, Research Division: Great. Then just lastly, on the pension. I know not a big deal for Lear, but you did pick up some lability, I believe, with the Guilford acquisition. Discount rates are moving in your favor. Do you have any numbers, any kind of sensitivities to share in terms of how much a benefit or a tailwind that's been for you year-to-date?
Jeffrey H. Vanneste: Well, I think what we've seen is the appreciation and the value of the pension assets has kind of outweighed the impact of the discount rates. And you're right, the year-over-year between '11 and '12, the increase in the underfunded position was entirely the impact of the Guilford acquisition. But we've seen some positive things in the past couple months and there is potentially some, if it still carries forward, some positive effect as we go into the year end.
Operator: Your next question comes from John Murphy, Bank of America Merrill Lynch.
John Murphy - BofA Merrill Lynch, Research Division: Just a first question on the guidance. As we look at just the core operating earnings in the second half of the year that would be implied by the high end of your guidance range, it would mean that the earnings would be flat pretty much on a year-over-year basis, but it looks like the sales will be up 6%. And I know there's some more launches, particularly the K2XX and others, that might hamper you a little bit in the second half of the year, but it seems pretty conservative. Is there anything other than launches that will really tamp down the core operating earnings in the second half of the year because it just seems like a pretty conservative outlook.
Matthew J. Simoncini: There's literally thousands of inputs that go in, Murph, into creating the guidance. But the main one's probably the program changeovers. As I think Rod mentioned earlier in the call, there is a significant amount of programs that are changing over this year and that's a little bit different than launch costs, if you will. With the changeover of a program, it's not unusual to see a pullback in the margins because of the efficiencies of a mature program versus a program that's in its infancy. Plus, in many cases, the margins pull back just because of the competitive pricing situation that we're in where we typically have to price lower than the exiting program and then work the pricing back up or at least the margins back up through value engineering and working with our customers. So I think probably the program changeovers might be worth 50, 60 bps, mainly in Seating, and that's probably what you're seeing in the year-over-year in the second half.
John Murphy - BofA Merrill Lynch, Research Division: Okay, that's helpful. Then just a second question on what's going on at the Electronics business. It's performing incredibly well. Just curious, are you seeing any pricing pressure coming in from automakers because you're making so much money there? And then sort of secondarily, there are some sales and acquisitions and M&A that's going on there that might be of interest to you, particularly on the JCI side, and Gentex seems to be moving. Is there anything that you're looking at as far as deals on the Electronics side that might be attractive to you right now?
Matthew J. Simoncini: Yes, let me break that down. Actually, I think there's 3 questions there. Price pressures are always there regardless of whether you make money or not. And this year's no different because our customers are in a consumer product that's very price-sensitive. I think one of our strengths is with our global reach and our vertical reach, if you will, for the different components. That gives us a very good stage to take costs out of the product. But yes, the price pressures continue, and I think in a strange way, that actually plays to Lear's strength. I don't necessarily believe that it's tied to the performance in the segment, if you will, because really what we look at is performance versus our cost of capital. And in this particular business, I think we have a nice gap to our cost of capital but I don't necessarily think it's out of market, if you will. As far as acquisitions, we are looking at many, many, many things in both segments. In particular, in Electrical, you've heard me talk about before how we'd like to get better in connectors or some scale in Asia with Electrical and we've got a lot of businesses that we've reached out to. We have absolutely no interest in Johnson Controls Electronics business. It doesn't fit our portfolio in any away. And I guess that's it.
John Murphy - BofA Merrill Lynch, Research Division: Okay. And then just lastly on raw material costs. I mean, your -- is a lot of that still being passed through escalators and indexing to the automakers, or are you guys getting any real benefit from the pullback in raws?
Jeffrey H. Vanneste: Yes, primarily with respect to copper. Copper prices are down year-over-year. Now our exposure to copper or benefit to copper is somewhat limited, about 15% to 20% of our overall buy is exposed. And we have benefited somewhat by the reduction in costs year-over-year. We've got hedge positions in place really between now and the end of the year on most of that exposure. But we are seeing a slightly positive year-over-year impact, primarily on copper.
John Murphy - BofA Merrill Lynch, Research Division: Any guess sort of on the bump that you saw in the EPMS margin and it would come off after that?
Jeffrey H. Vanneste: If -- net-net because there are some other competing commodities that are going counter to that like resins. So it's relatively small in EPMS. It's not a big driver.
Operator: Your next question is from Brett Hoselton with KeyBanc.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: First, just by way of clarification, on the Seating margins and this is just basically trying to clarify some of the things that Rod was asking about, if I understand it correctly, South America, it sounds like that's a drag on Seating margins to the tune of maybe 100 basis points. You expect some improvement over the next couple of years. The launches, maybe another 100 -- 50 or 100 basis points. You expect some improvement in the back half of 2014. And then Europe, you kind of expect some steady improvement there. And I thought I heard that characterized as 100 basis points. Is my understanding correct or would you make some adjustments to that?
Matthew J. Simoncini: No, it's mostly correct. I would characterize instead of launch, I would characterize it as program changeovers. Launch costs, Brett, is a 6-week period wrapped around the start of production and represents the inefficiencies associated with ramping up. What we're talking about is a little bit different, which is it's the changeover of the portfolio. And as new business comes on, it typically comes on as slightly lower margin than the business it replaces. And then as you work through value engineering and efficiencies throughout the supply chain, we're able to work those margins back up. Jeff, but from the rest it, though, I think he was fairly accurate?
Jeffrey H. Vanneste: Yes, I think he's there. I mean, looking at South America, if you just look at it in the quarter on a year-over-year basis, it's about 20 basis points in the quarter on South America. And I think everything else that you mentioned and Matt responded to is pretty much on mark.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: So how do we think about the midterm margin target for this segment? If we're tracking kind of mid-size now, it looks like we've got kind of 200-maybe-plus basis points of potential margin opportunity here, which would kind of put you into the mid-7% range. We still kind of thinking 7% to 8% is maybe kind of 1, 2-year time horizon target?
Matthew J. Simoncini: Yes, I probably would characterize it this way: we're going to make steady progress to the target margin of 7%, Brett. The way I see the immediate term is that with the summer shutdown in the July period and the third quarter is typically our weakest quarter, we'll see some pullback from what we've posted in the second quarter, which is fairly a strong quarter for us historically. Then we'll see the fourth quarter again kind of improve, probably not a whole lot different than the second quarter as far as the margin profile. So something along that range. And then as we enter into next year, there's another wave of program changeovers that come into play along with the typical seasonality of the first quarter when the whole new level of productivity comes in, contractual productivity comes in and pricing comes in for our customers. So I would expect to see some level of a pullback and then a steady march through the remainder of the year for progress towards the 6% and then 6.5% and then down the road 7%. I think it'll be a steady climb towards target margins over the next 24 months.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: And then Electrical, it just seems to keep going up. I mean, 9.7% this quarter, very, very good numbers. I mean, high 8% range seems fairly conservative for this year unless you're expecting something to happen in the back half of the year. And it seems like what's driven is that operating leverage on your fixed cost base and with revenue growth looking like it's going to continue to some extent, what kind of a midterm target are you thinking with the electrical business because it looks like it can track right up into the double-digit range?
Matthew J. Simoncini: Yes, our business is a combination of harnesses, junction boxes and connectors under this umbrella of Electrical Distribution. And from our standpoint, we start posting in excess of our cost of capital when we get in the mid- to high-6s, if you will. And so we kind of manage our business along those lines. We expect to continue to win business in this segment at healthy margins. We are leveraging our fixed infrastructure with the level of sales that we've had -- currently have. And we're also getting the benefit of a lot of the restructuring and footprint actions we've taken over the last several years. I think from our standpoint, we're monitoring the launches, monitoring the product changeovers, the business continues to grow and keeping an eye on it. And I think the margin profile in this business will remain fairly healthy. And right now, we believe it's prudent to kind of call it at the high 8s, if you will.
Operator: Your next question is from Ravi Shanker with Morgan Stanley.
Ravi Shanker - Morgan Stanley, Research Division: I'm sorry, I may have missed this in your comments, but what did you say was the amount of the customer settlement that aided the EPMS margin this quarter? Can you give us a little more color there as to whether it was a catch-up to previous settlements or if it was pulled forward from the future quarters?
Jeffrey H. Vanneste: With respect to that, Ravi, in terms of basis points, I think you can do the math. We indicated in the discussion, it's worth about 30 basis points in the quarter. And it was will really timing related. We had anticipated getting that commercial issues or those series of commercial issues completed later in the year. And as such, we got it done earlier than we had previously thought, but it's worth about 30 bps.
Ravi Shanker - Morgan Stanley, Research Division: Got it. So still very strong margins even if you adjust for that. And also, just going back to something you said earlier in the Q&A. I think you had implied that even once the launch costs kind of wind down, you expect the initial new programs to be slightly dilutive to margins. What about the content per vehicle, is that going to be -- see a significant step-up once you have all these new launches come in?
Matthew J. Simoncini: I'm sorry what was your question on content per vehicle? You broke a little bit, Ravi.
Ravi Shanker - Morgan Stanley, Research Division: Sorry. My question was what happens to the content per vehicle once all the new launches ramp up? Does that see a significant step-up?
Matthew J. Simoncini: Yes, it continues to grow. We've done a really nice job with penetrating the market with our components, both structures, tracks and recliners, as well as, I think, our leading -- industry-leading seat cover business, we call it cut & sew and trim. The content is continuing to grow. I think the benefit of Guilford is starting to come through as well and we're making nice gains in some the foam business. So we would expect the content per vehicle on the Seat side to continue to grow. And then on the Electrical side, as the cars are adding more and more content, on average, we believe it should be about 3% a year on content growth there. We're not only gaining share, but you're seeing overall the structure of the vehicles have more electrical content in there. Alternate energy vehicles, as they penetrate the market, also provide an opportunity for significant content growth. So we are seeing content growth at all segments.
Ravi Shanker - Morgan Stanley, Research Division: Got it. And just finally, we saw the EU move to render some verdicts in the antitrust case in the wire harness business last month. Do you consider yourselves as having got the green light there and is this over, or do you think there could still be some actions?
Matthew J. Simoncini: Yes, as we've said many times, we never believed we were the target of the investigation. We cooperated with the authorities fully. And we ran our own internal investigation and we didn't find any evidence. We plan on continuing to defend ourselves vigorously in some of the civil matters. On July 10, when the European Commission issued the press release, they imposed certain fines against our competitors, but no fines or penalties or liabilities were imposed on Lear. And we believe that's indication that the European side of this investigation is done. And it's consistent with our own internal findings. We are still subject to civil -- some civil class action suits in the U.S. But again, we believe they're frivolous at least as far as including Lear in it. And the fact that the European Commission did not fine us believes [ph] very much strengthens our hands in our defense of those lawsuits. And we plan of vigorously defending ourselves in these matters.
Operator: Your next question is from Joe Spak from RBC Capital Markets.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Actually, just following up on the content per vehicle commentary. And I know it's not a perfect measure. But you guys have -- as you reported anyway, have shown some good increases in Europe while North America flat. Is that because you are further ahead on the EPMS penetration in Europe? And if so, is that still an opportunity on some of the North America production?
Matthew J. Simoncini: Yes, I think so. I mean we look at content per vehicle on 2 different ways. I guess the formal way is to take the total industry and kind of divide our sales and come up with a content per vehicle which is I think is very theoretical because, Joe, we don't sell to the industry, right? We sell to specific car lines. And the car lines we're on, we're constantly measuring our content growth and we believe that between the penetration of electrical content as well the investments that we've made in the component business, we are seeing gains in both our 2 product segments and we'd expect that to be an opportunity in North America, specifically in Electrical.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay, great. And then just thinking about the backlog, it looks like -- and you've indicated this prior that Seating may ramp up a little bit more in the back half of the year. I just want to, I guess, confirm that. And then I know you're not going to update the 3-year figure today, but if we start thinking about it going out a little bit versus one you initially gave that sort of color, I think the industry as a whole is -- there's still uncertainty, but I think people are feeling better about it. So is there some potential upside to maybe some of the volume assumptions you initially gave with that 3-year outlook?
Jeffrey H. Vanneste: I think what's out there right now, Joe, is a 3-year backlog number of $1.8 billion, which included $850 million in '13. And as we look at the numbers for all the reasons you just suggested for '13, I think we're trending higher than that. Maybe just right around the $900 million mark. And as you look at the cadence of that backlog when it's coming onboard, we'd see the EPMS cadence more ratable throughout the year whereas the cadence of Seating is more back-end loaded.
Joseph Spak - RBC Capital Markets, LLC, Research Division: That's for '13, right?
Jeffrey H. Vanneste: For '13. All of that is for '13.
Matthew J. Simoncini: We've had a good year winning business as well, Joe. We'd expect -- we're penetrating in both segments and taking share in both segments in all regions. We've had a good booking year and we'd expect that trend continue.
Operator: Your next question is from Brian Johnson with Barclays.
Brian Arthur Johnson - Barclays Capital, Research Division: When we look at the backlog in light of some of the trends of year-to-date, I get a sense is there going to be upside to the backlog apart from new signings, but just for some of the content growth you're talking about. And, in particular, on the Electrical side, are we just seeing more infotainment, more active safety, just greater take rate within the platforms of some of the higher-end packages and does that drive content? And parallel, in Seating, we keep hearing from Ford and GM how their customers are opting for the upper end of the trim packages and so are you seeing upside from that? And if so, does it affect the backlog?
Matthew J. Simoncini: Yes, we are. We don't make theoretical adjustments to the content in our backlog. In our backlog, we pretty much just take the base scenario as the customer tells us net new business, so we have to have an award over a 3-year period. So we have pretty narrowly defined backlog. We do expect, though, and we are seeing content growth. What's typical, Brian, and you know this, is that cars are getting more electrical feature, which requires more circuits to run, signals through the vehicle, which plays to a strength that Lear has. We've been seeing an average of around 3% a year. That's continuing, but we didn't put a theoretical amount in the backlog but we'd expect it to impact the backlog in a positive way. On Seating, seats evolve and entry-level vehicles or B platforms, C platforms begin to have a more content whether it's power content or upgrading to a leather feature from a cloth feature that would add content as well. We're seeing that in the marketplace and that's a trend that we think would benefit Lear.
Brian Arthur Johnson - Barclays Capital, Research Division: Okay. And then secondly, on the cash side, the ASR, obviously, your partners are going out and covering that. But would you have any flexibility to enter the market opportunistically in addition to that or you just need to wait for that to get cleaned up? And then secondly, can you maybe remind us of your leverage targets and what that implies for cash return beyond this current program?
Jeffrey H. Vanneste: I think with respect to your first question, we're not necessarily precluded from entering in the market ourselves and buying back shares coincident with the ASR program. With respect to the future beyond the ASR, the ASR will be completed no later than March of 2014. We have an existing authorization that extends beyond that point in time of $750 million over a 2-year period. So the thought would be that when we complete the current ASR, we would roll right into that authorization.
Brian Arthur Johnson - Barclays Capital, Research Division: Okay. And on terms of leverage target, have you articulated one?
Matthew J. Simoncini: We've talked a little bit of -- you've heard us say a lot of times, Brian, about our desire to maintain investment grade credit metrics. We believe a gross turn -- a 1.5 gross EBITDA leverage ratio is probably the range that would work longer term. If we saw the right investment, we wouldn't have a problem moving up to that level.
Operator: Your next question comes from Colin Langan with UBS.
Colin Langan - UBS Investment Bank, Research Division: Any color -- I mean, you had very strong sales outperformance with global sales up just 3% and you're up 12%. I mean, was there any positive customer mix that was helping you out particularly in this quarter, or is that all just really backlog-driven?
Matthew J. Simoncini: Both. I mean, we had a nice mix of platforms, specifically in Europe. In Europe, what we're seeing is we've got a pretty diverse customer mix and platform mix, everything from the high-end premium brands with the German OEs, as well as the more A, B or lower-end vehicles. We're seeing strength in a lot of the luxury brands and premium brands in German OEs specifically, as well, with the car lines that get exported and that's benefited us. We also had a strong backlog quarter so we were able -- we're continuing to penetrate the market in both segments and that's what you're seeing.
Colin Langan - UBS Investment Bank, Research Division: Okay. And then any concerns around rising warranty risk or any litigation risk. I think one of your competitors mentioned something about more exposure to some of the litigation after the Detroit Three -- the Detroit bankruptcy sort of left [ph] more risk onto the suppliers? Is that a risk for you in the future?
Matthew J. Simoncini: It's a risk. It's nothing new, though. It's been going on. It's been out there for a while. I mean, we take great pride in standing behind our products and making sure that our customer gets our component, first and foremost, as spec, but more importantly, in accordance with all the safety standards that you would expect. That's what you get when you buy components from Lear Corporation. So it's a risk, but it's not unmanageable. It's not anything new by any stretch of the imagination.
Colin Langan - UBS Investment Bank, Research Division: So there's no increased pressure to take on more of the warranty exposure?
Matthew J. Simoncini: No, I think it's not increased. I think it's consistent. It's consistent. It may be increased from 5, 7 years ago, but it's not increased from last year.
Colin Langan - UBS Investment Bank, Research Division: Okay. And then just lastly, I mean, you took up your guidance outlook for Europe. I mean, what gives you confidence that things are getting a little bit better there? Are you seeing some good signs from your customer base?
Matthew J. Simoncini: Well, it's stable. It's stable in what we think is a relatively low end. We're not counting on a snapback. It'd be great if it did, but we're not counting on it. We've been able to get some costs out of our facilities and looking at opportunities to do some more. And our leadership team in Europe has done, I think, a very good job at managing in a still somewhat challenging environment.
Operator: Your next question comes from Adi Oberoi with Goldman Sachs.
Aditya Oberoi - Goldman Sachs Group Inc., Research Division: I just had -- I wanted to understand the opportunity in new businesses a little bit better. Would you characterize the opportunity more coming from current OEMs where you're bidding on global platforms rather than individual regions, or is it an opportunity coming from new OEMs in emerging markets?
Matthew J. Simoncini: It's both. It's really both. I would say that the global platforms provide a unique opportunity for Lear because we're one of the few suppliers in both our spaces that can do a global platform in all the components at every automotive-producing region in the world. And I think that's going to play to our strength and that's a major significant trend in the industry. We are also, however, winning business with some of the emerging market OEs, if you will. But really, I think that's a longer-term play and a longer-term opportunity to see significant growth with them. We have business with all the major emerging market players that have foreign partners in China. We have significant business with Mahindra & Mahindra. And we also have business with some of the niche smaller domestic OEs in China as well. So we've been able to penetrate pretty much everywhere, Adi. But I think the main opportunity for us is going to be the penetration of global platforms as all the automakers now are to -- trying to launch consistency all around the world. And I think that, that'll play to our strength.
Aditya Oberoi - Goldman Sachs Group Inc., Research Division: Got it, that's very helpful. And I wanted to circle back on the question of leverage here. It seems that we are heading into an environment where rates are going to rise. Any plans to kind of take up leverage a little bit before we get into a more costly debt environment?
Jeffrey H. Vanneste: I think we are always looking at the markets to see where rates are going. We're not planning on doing anything in the near term, but we do have a bond that we have the opportunity to redeem 100% of it in the latter part of the first quarter of 2014, so there may be a preemptive move to give us the ability to do that whereby restructuring our maturity profile, as well as reducing our overall cost of debt.
Operator: Your final question is from Adam Brooks with Sidoti & Company.
Adam Brooks - Sidoti & Company, LLC: Just 2 quick questions here. Can you talk a little bit about how the China business has been trending in recent months and maybe where you stand from a capacity standpoint?
Matthew J. Simoncini: Yes, it's continuing to grow, but growth is somewhat slowing at the moment. We've put a lot of capacity in and I think we're seeing nice growth. I think from a Seat standpoint, we're probably closer to our full utilization. In wire electrical -- in Electrical, we've made nice investments specifically in connectors and we think we still have some upside there, as well as some electronics capabilities. So all in all, while we continue to grow, it is slowing a little bit, but still outpacing I think the more mature markets. So we're in pretty good shape. If we see a major step-up in our backlog, we'd have to continue to invest in the business. Now for '13, we're still calling the number at what, Jeff, 15%?
Jeffrey H. Vanneste: Yes, about 15% growth, specifically in China.
Adam Brooks - Sidoti & Company, LLC: And then maybe now that you have Guilford for 1 year now, can you kindly give us an update on kind of your thoughts in the strategy there, and I know maybe it's helped expose you more to some customers where you were underexposed before. So maybe just an update on your thoughts with the strategy going forward?
Matthew J. Simoncini: We're very happy with the investment that we made in Guilford. It's performing slightly better than we anticipated from a cost and margin standpoint. It is allowing us to get into the design studios earlier, and as well, come up with some pretty innovative solutions on the seat covers, as well as take cost out of the product, come up with unique designs. So I would tell you that, that it's been a very, very good acquisition for us and we're very happy with that. Okay, with that, I think that concludes the question-and-answer part of the call. For the Lear team that's on the call, I want thank all of you for your hard work and your teamwork. Without your hard efforts, we wouldn't able to post these type of results. So keep up the great job, and I deeply appreciate it. And to Jeff and the entire finance team, great job getting ready for the call. Thank you. Bye-bye.
Operator: Thank you for joining, ladies and gentlemen. This concludes today's conference call. You may now disconnect.